Operator: Hello, and welcome to the Vopak Full Year Results Call. My name is Rianne, and I'll be your coordinator for today's event. Please note, the call is being recorded.  For now, I'll hand you over to your host Fatjona, Head of Investor Relations to begin today's conference. Thank you.
Fatjona Topciu: Good morning, everyone, and welcome to our 2021 full year results. My name is Fatjona Topciu, Head of IR. Today, our CEO, Dick Richelle will guide you through our latest results. Our COO, Frits Eulderink is here as well and will be available for questions during the Q&A session. We will refer to the full year 2021 analyst presentation, which you can follow on screen and download from our website. After the presentation, we will have the opportunity for Q&A. A replay of the call will be made available on our website. Before we start, I would like to refer to the disclaimer content of the forward-looking statement, which you are familiar with. I would like to remind you that, we may make forward-looking statements during today's presentation, which involves certain risks and uncertainties. Accordingly, this is applicable to the entire call, including the answers provided to questions during the Q&A session. With that, I would like to turn the call over to Dick. 
Dick Richelle: Thank you very much, Fatjona, and a very good morning to all of you joining us in the call. It's my pleasure to share with you our fourth quarter and full year results of 2021. For those of you, I speak to for the first time my name is Dick Richelle. And since the 1st of January, I'm the CEO of Vopak. Unfortunately, you heard that in the introduction from Fatjona, Gerard Paulides, our CFO cannot be with us this morning in the call. His father is in critical condition, and that's a very sad situation for him. Our thoughts are with him and his family. I will give a short introduction on the results and the execution of our strategy. And later, I will update you on the financial performance as well. So let's begin with slide 4, and review the highlights. Our short-term performance in 2021 has been good. On safety and service, our performance was at our best level yet. And we delivered good financial performance with improved EBITDA at €827 million, reflecting a 7% year-on-year growth adjusted for currency movements. A positive EBITDA development was supported by the essential contribution of growth projects in the order of €50 million, and our ability to control costs. Our costs came in at €611 million, after adjustments and are in line with our previously announced outlook of €615 million 1-5 for the year 2021. Market conditions were soft throughout most of the year. Despite those volatile global markets with low demand for storage, due to in general tight supplies, Vopak has again proven its resilience. In 2021, next to the delivery of good financial performance, we made again good progress on both our portfolio and growth. We reached new milestones in industrial terminals by successfully commissioning terminals in the US Gulf Coast and in China. In addition, we are expanding our gas footprint with our new joint venture in India with Aegis, and the floating storage and re-gasification unit for the new offshore LNG terminal in Hong Kong. Finally, we delivered new storage capacity and infrastructure in Belgium, the Netherlands, Mexico, the US and Australia. We remain focused on short-term performance delivery and protecting long-term value and making progress on our portfolio and growth agenda by actively positioning ourselves towards the future. Let's continue to the next slide and let me recap, our view on the business environment and product markets in which we operate. First, let's take a look at the chemical market, which was faced with record-high prices due to supply shortage, as a result of weather conditions, shutdowns and increased demand. However, towards the end of 2021, we witnessed some improvement on the chemical side, mainly on the back of demand, where we see economic activity picking up in line with consumer confidence. On the supply side, we witnessed a recovery in the US from disruptions, and at the same time new chemical plants that came online in Q4, mostly in both China and the US. Chemical supply chains as a result are now filling up again with product, and we observed an increase in storage demand. We expect these developments for chemicals to continue into 2022. On the oil side, we witnessed demand for oil products going up during 2021 and already now reaching pre-COVID levels. At the same time, supply has not been able to pick up fast enough so destocking happened. Hub demand and demand for the storage in our hub locations has been and will continue to be negatively impacted. On the distribution side of our terminals because of the fact that end demand for products is increasing, we saw demand picking up and being solid throughout the year. The gas markets were also impacted by the dynamics in oil such as a strong demand recovery, geopolitical tensions and supply issues leading to high gas prices. The outlook for gas demand continues to look solid. Our financial performance was stable in this segment due to the long-term take-or-pay nature of our gas business. Moving on to new energy. We see increased opportunities in the new energies and sustainable feedstock space and we have been stepping up our efforts here. I will update you later in this presentation on how we are maturing several of these opportunities. Our ambition is to deliver sustainable shareholder value and profit through value creation and resilient performance. In order to achieve that we are focused on delivering our portfolio transformation, pursuing the opportunities in new energies and sustainable feedstocks and executing our sustainability road map focusing on care for people, planet and profit and let me elaborate shortly on that last element. We updated our sustainability road map to navigate us in the coming years. It's a balanced road map with 12 key topics, focusing on the care for people, planet and profit. It includes on the one hand very key targets in the climate plan towards becoming climate neutral in 2050 including a target towards 2030. On the other hand, it also includes targets on diversity, safety, our care for the environment and how we can contribute to the introduction of new energies and sustainable feedstocks by developing infrastructure. On the short-term performance I already mentioned, we've shown EBITDA growth as a result of the essential contribution from growth projects and cost focus. Finally, looking back but also looking ahead there are several macroeconomic development that continues to influence our company and the markets in which we operate; inflationary pressures on cost but especially utilities, which will impact the supply chains of our customers and our operations; the continued volatility around the pandemic; and last but not least very trending at the moment the geopolitical tensions that are putting even further pressure in already volatile markets. Now moving to the portfolio positioning and let me give you some perspective and context around what we have done. Since 2014, we have divested more than 10 oil terminals in OECD countries. On top of that in 2021, we initiated the review of the strategic options for the four oil terminals in Eastern Canada. Our aim is to allocate the majority of our growth investments to industrial, gas and new energy infrastructures. And we have been doing so successfully over the past period and have added more than 10 terminals to our network, which were mainly industrial terminals and terminals for LNG, gases and chemicals. Combining our divestment program with our targeted growth, capital allocation we have as a result been transforming our company. For example, our contract duration has increased as our business in industrial and gas terminals is underpinned by long-term take-or-pay contracts ranging from five to 20 years. On new energies and feedstocks, we see it as our role to develop infrastructure solutions for hydrogen, ammonia, CO2, flow batteries, biofuels and sustainable feedstocks. As an example of this and building on our experience in storing and handling ammonia at five other locations around the world, we commissioned ammonia operations in the new Vopak Moda, Houston terminal with access for very large gas carriers. This positions us well to contribute to the future flows of ammonia, which can be used as a hydrogen carrier, a shipping fuel or a feedstock. Now let's move on to the developments in our industrial terminal portfolio. During the year, we made progress with the start of operations with the greenfield industrial terminal in Qinzhou, China. Next to that, we were awarded an industrial contract for the storage and services of a liquid products terminal to be constructed and operated, as part of ExxonMobil's proposed chemical complex in China. We commissioned a new Vopak industrial terminal in the US serving a joint venture by ExxonMobil and SABIC. Finally, the integration of the three industrial terminals from Dow with our joint venture partner BlackRock is progressing. On LNG, our portfolio is solid with high levels of capacity utilization in our existing assets and expansion momentum. Our Gate terminal for LNG in Rotterdam is making an important contribution to the security of natural gas supply in the Netherlands and Northwest Europe, and we are proud that together with joint venture partner Gasunie, we successfully executed a maintenance turnaround program and will further expand re-gasification capacity that is planned to become available at the end of 2024. We reached an agreement with MOL to jointly own and operate the floating storage and re-gasification unit for the new offshore LNG terminal in Hong Kong to support regional electricity demand. Now, let's look – take a look at the new energies portfolio. We recognize the acceleration of the energy transition and want to definitely position us well and capture the opportunities for investments in new energies and feedstocks. We earmarked four focus areas in new energy: hydrogen and its carriers, CO2 infrastructure, sustainable feedstocks and flow batteries, on which I would like to share a few examples with you to give you an idea of what the activities are that we are undertaking. First of all on hydrogen, we are working at the moment on a project that proves the feasibility of hydrogen transport based on liquid organic oils with our Vopak Ventures partner Hydrogenious. This would be a first-of-a-kind supply chain for hydrogen, where green hydrogen produced in Germany is converted into a safe liquid ready for transportation towards the Netherlands, and converted back into gaseous hydrogen for use in industry. We are involved in CO2 infrastructure in various ports, which would allow industrial clusters to store CO2 in depleted gas fields. Currently, many industrial companies and clusters will not be able to make use of depleted gas fields, because they are not directly connected to CO2 infrastructure and pipelines. We are part of the Project CO2nnect, and the project aim is to connect multiple emitters for the storage operator – for the storage – to the storage operator into an open access system, facilitating transport of CO2 in the near future. Gasunie Vopak and Gate terminal are investigating this feasibility of building a terminal to receive and deliver liquid CO2 by ship. Sustainable feedstocks are a key enabler of the energy transition. Vopak is investing in the Port of Rotterdam for the storage of waste-based feedstock for the production of biofuels such as biodiesel and biojet fuel. In total, 60 new tanks with a combined capacity of 64,000 cubic meters will be built in Vlaardingen. The renewable feedstocks that can be stored in the new tanks are waste materials such as used cooking oil and tallow. Finally, Vopak has entered into a joint ambition with a Elestor, to scale up the capacity of hydrogen bromide flow batteries in a period of two years, and have further developed it to industrial scale. We believe that in the changing energy market, there is more need for electricity storage to deal with flexible supply and flexible demand. And therefore, this is a project that fits in the strategic view that we have towards our role in the energy transition and we aim to start to construct one of these flow batteries, as we call them on the Vopak location. Our focus on environmental social and governance topics is reflected in the ESG benchmarks, where we do very well. On sustainability, we are ambitious and performance-driven. As I said, we updated our sustainability road map to navigate us in the coming years. It is a balanced approach with 12 key topics focused on care for people planet and profit. On safety, the cornerstone of our sustainability policy, we had no major incidents in 2021 and continue to improve our performance versus previous years recording our best year yet. We want to facilitate the introduction of vital products of the future and reduce our own environmental and carbon footprint. Vopak supports the United Nations Sustainable Development Goals and specifically embraces five of those goals where we believe we can create the most value for stakeholders and society as a whole by supporting the energy and feedstock transitions; in providing a safe working environment; in avoiding air, water and soil pollution; and in building resilient, sustainable infrastructure at ports around the world. So before moving to the financials part, I'd just like to recap the key messages. 2021 was an atypical year due to the pandemic, in which Vopak has again proven its resilience. We improved our safety and service where our performance was at the best level yet. We've grown EBITDA close to record highs at €827 million, reflecting a 7% year-on-year growth and delivered €50 million of new growth project contributions. Our costs were in line with previously announced outlook of €615 million for the year. Now I'll hand it back to Fatjona.
Fatjona Topciu: Thank you, Dick. As mentioned at the beginning of this call, Dick will also update us on the full year 2021 financial performance.
Dick Richelle: As previously stated, the EBITDA grew in soft business conditions. We continue transforming our portfolio for the future and invested some €269 million in growth this year. The earnings per share came in at €2.38 for 2021 and our cash performance and balance sheet supports continued growth investment and increased distributions to shareholders, and therefore we're proposing to grow our dividend to €1.25. Let me take you through our financial performance per division. Strong performance in Europe and Africa for the year is mainly driven by growth contributions in South Africa and partly offset by higher utility prices in the last quarter of 2021. Solid performance in the Americas is driven by new capacity in Veracruz, Mexico. China and North Asia reflects the new capacity commissioned in Qinzhou. The LNG performance was impacted by the scheduled maintenance turnaround program at our LNG facility in the Netherlands, the Gate LNG terminal, but that at the same time was partly offset by the positive lease accounting impact of the new commercial contract in Mexico. The performance in Asia and Middle East is a combination of factors. Last year the performance was impacted -- last year meaning 2020, the performance was impacted by a one-off accounting impact in Malaysia. Now some more details on the divisional performance trends. The Americas division benefited from growth projects, primarily driven by our new industrial terminal in Corpus Christi. Furthermore, there's an uptick in occupancy as the US economy is running at full speed and this is reflected in several terminals across the US network. The Asia and Middle East occupancy rate reflects soft business conditions throughout the year in both oil and chemical markets. China and North Asia division performance is impacted by the withholding tax reclassification, which positively impacts the results of the joint ventures. Just to explain a bit more at this moment on that topic. Given the increased importance of joint ventures in our portfolio, starting from the fourth quarter in 2021, the withholding tax that we previously recorded on undistributed reserves of associate and joint ventures will be recorded in the income tax line instead. Performance of Europe and Africa reflects the higher utility prices in the last quarter and overall soft market conditions. LNG performance is solid. Fourth quarter results were influenced by the positive lease accounting impact of the new commercial contract in Mexico and our Gate terminal being fully operational following the completion of the planned maintenance program. Now, let me take you through our financial performance this year in more detail. In our last calls, we highlighted the various levers that impacted our performance. The starting point is last year's EBITDA of €780 million, which has been impacted as I said before by a one-off negative accounting result in Malaysia. During the quarter, the chemical and oil commodity markets remained volatile. Chemical markets improved in the last quarter, as we experienced higher throughputs and improved market conditions. However, currency headwinds reduced our performance for the full-year. At the same time, we have delivered on our growth projects, which have contributed some €50 million. Good cost management continued during 2021. We were faced with higher utility prices during the year, which we managed to partially offset by efficiency. Now let's move on to cash flow. Cash flow generation was solid, an increase by 6% in 2021 to €760 million adjusted for derivatives and working capital movements. Year-on-year performance was impacted -- was influenced by the impact of derivatives related to our intercompany loans and working capital movements. Sustaining service and IT investments were €316 million slightly higher compared to last year and included investment, for maintenance and inspections of out-of-service capacity. The investments in growth projects continued and resulted in €269 million of investments in 2021. As mentioned in the prior slide, we are investing in growth and have shown our ability to grow EBITDA and equity at healthy rates. EBITDA has grown by 8% in the period 2004 to 2021. Capital employed in equity, by 10% and 12% respectively. In 2022, we expect growth investments to be below €300 million. This includes the planned Aegis transaction in 2022 and also the investment related to the new LNG terminal in Hong Kong. For the period 2020 to 2022, we expect to be on the high end of the previously announced range of €750 million to €850 million for sustaining and service improvement CapEx. As part of the strategic direction for the period 2020 to 2022, we have indicated to invest annually up to a maximum of €45 million in IT CapEx to complete Vopak's digital terminal management system. We expect to complete the rollout of Vopak terminal system to our terminal network and joint ventures by the end of 2023. Now let's turn to proportionate results. The performance of joint ventures and associates is becoming more important with our joint venture assets and strongly reflects our underlying operational performance. Proportional EBITDA is €251 million this quarter, of which the proportional joint venture's EBITDA is more than €100 million. Our proportional occupancy rate was 86% in Q4, reflecting lower demand in the Netherlands and Singapore. Now let's take a look at the debt repayment schedule. Debt servicing is the first cash priority that we have. As you can see from the debt repayment schedule, our revolving credit facility is up for renewal in 2023. We are looking into the possibilities to introduce a sustainable -- sustainability-linked debt instrument in the coming year. Moving to shareholder distribution. Our dividend policy is to pay an annual stable-to-rising cash dividend, in balance with the management view on the payout ratio range of 25 -- of between 25% and 75%. The earnings per share resulted in €2.38 and we announced a 4% increase in our cash dividend to €1.25 per ordinary share reflecting our good performance in 2021. Now let me close out with our looking ahead. Vopak is on track with the prior announced target of €110 million to €125 million EBITDA contribution in 2023 from growth projects. Additional projects will further contribute to EBITDA. We continue our cost focus into 2022 and the cost base including additional cost for new projects is expected to be around €645 million. This is subject to currency exchange movement and utility prices. In 2022, growth investment is expected to be below €300 million based on the committed projects and current market opportunities. To conclude, Vopak is ready for 2022. That concludes the presentation and the prepared remarks. Operator, if you could please open the call for some questions. Thank you.
Operator:  Our first question comes from the line of David Kerstens from Jefferies. You are now unmuted. Please go ahead.
David Kerstens: Hi, good morning, Dick. I have a few questions, please. First of all, I was wondering if you could share us – share with us your views on the business and strategy after your first month as CEO of Vopak. I understand you are accelerating the energy transition and you've now also classified the Canadian terminals as held-for-sale. I was wondering if you could please give us an indication of what percentage your oil assets outside of the hubs represent of proportionate revenue. I saw in your slide you said oil is still in total about 30% to 35%. Then in terms of outlook, I think in the previous conference call, Eelco was highlighting a potential recovery of tank storage markets in 2022, as supply chains rebalance. Is that still something you expect for this year? And will that be more second half weighted? Yes, I think those are my questions for now. Thank you very much.
Dick Richelle: Yes. Thank you very much, David for your questions. I'll start with the second one and then I'll get back to your first question, if that's okay. On the outlook and the way I look at markets, as I said in the presentation, I think on the chemical side, we've seen in the fourth quarter because of the fact that supply chains are filling up, you see definitely an increased demand for storage. We see that in the hub locations. We see that picking up in Houston. We see that picking up in Singapore and we see it slowly picking up in the ARA region as well. So on chemicals, I can definitely see the trajectory that we went through in 2021 and the momentum that we've gained also towards the – towards 2022. I think on the oil side, what we see there is as I mentioned in the presentation, high prices, not a lot of stocks and a market structure that is not necessarily favoring in general the demand for storage. And as a result, we see pressure on the occupancy and you see some of the contracts that over a period of time are going through a renewal cycle and that you see some of the effects of that in the fourth quarter. And therefore, it's – for oil remains an uncertain outlook, I would say for 2022. That's probably the most clear that I can put it for the market. Then to your first question just a general update on where I see business and the first steps towards our strategy, which we are working on at the moment. What we are – what I'm doing and what I'm trying to do first and foremost is engaging with a number of parties internally and externally to set the right expectations and be in listening mode at least at the start. That's one. Second, I want to make sure that we start the year in the right setting and that the short-term performance is well secured for the company, while at the same time, we are currently working on setting the priorities for the coming years with the new team together with Frits and Michiel Gilsing going forward in the roles and we plan to update the market in Capital Markets Day in May of this year. So I know you were hoping and maybe expecting that I would come with different news maybe around this time. What I can tell you at least for now and it's what you see in the in my presentation, a continued focus on a critical look at the oil assets that are based in OECD and are in markets where we see that they've reached a certain level of maturity. I'm still excited for the opportunities you see in fuel distribution markets in non-OECD. I think that's still a segment where we do fairly well and we have an opportunity to further grow our performance. I'm excited for the opportunities in LNG and in industrial terminals. And on the new energy side, if there's one thing that I can tell you at least what I sense in the organization today versus let's say 12 months ago, the excitement and the level of momentum that we are picking up on that and you see that hopefully in the maturity or the increased maturity in some of the projects that I mentioned is definitely picking up. And this is obviously still at the early stage. I think there is a first mover advantage. So you need to move early and that's what we're spending a lot of time on that. At the same time, this is also a learning journey. We are here to make sure we set up the right connections, build the capabilities in the organization and build up across different parts in the world a mature project funnel. And those are the elements that are working. I'm definitely very excited for the prospects over there, because I think we have a lot to offer because of the type of company that we are, because of our capabilities but also because of the physical locations where we are located. Now your third question was on the proportionate revenue for oil products outside of the main hub locations, I don't have that number over here with me, but I'll make sure Investor Relations follow-up separately with you after the call, if that's okay.
David Kerstens: Yes. That will be great.
Dick Richelle: All right.
Operator: So, our next question comes from the line of Luuk van Beek from Degroof Petercam. You are now unmuted. Please go ahead.
Luuk van Beek: Yes. Thank you. Thanks for taking my question. First of all two questions basically on the CapEx. Going forward, you guide for a lower number in 2022. Can you explain a bit why? And in general, with the impression that the pipeline is smaller, can you explain the key drivers for that? Is that the type of opportunities that are available? Is it the current cost level? Is it the desire to delever the balance sheet a bit? And my second question is on the sustaining and improvement CapEx, because you guide towards the higher end of the year -- the range of say €850 million. If I add up the last two years then I get €369 million. So that means there is only two-thirds to be spent on roughly in the coming year. Is that correct, or is it possible that you would spend an additional amount to realize all the plan?
Dick Richelle: Thank you, Luuk for your questions. I'll defer the sustaining CapEx question to Frits to start off with that and at least you guys hear a little bit of a different voice than my voice, and then I'll take the growth question after that if that's okay. Frits?
Frits Eulderink: Yes. Thanks Luuk for the question. I think if you look at our numbers and the way we classify a sustaining and service, you end up with an amount of about €300 million left for 2022 and that is indeed where we -- that's where we expect to land.
Luuk van Beek: Okay.
Dick Richelle: And then maybe on the growth question that you asked, there's a few angles to look at Luuk. First and foremost 2019 and 2020, as you know, have been characterized by quite an impressive expense on the growth side. So we are as an organization very much focused to make sure that we deliver to get that commissioned and to get that delivering the results as we are expecting that. That is definitely taking the time. At the same time, what we've seen in 2021 and I expect that to continue in 2022 that there is a natural level of attractive projects for us to invest in and that's mainly on the industrial terminal side and the gas side. That sits around that level of somewhere between the €250 million and the €300 million. And that's basically where we sit today. If you specifically asked is that because the number of opportunities is less, maybe that's the case that the number of opportunities is less, but it's a fair reflection I think of where we are. It's a fair reflection of the type of projects that we are interested in. And I'm comfortable basically with that level of growth investment, again linking it also back to my earlier statement that I also want to make sure we deliver on the investments that we've already put in place. And going forward, and that was the same answer I gave to David before in -- at Capital Markets Day, we hope to give you also a good indication of where we see the future growth of our capital and the allocation of our capital for growth in the future where we want to prioritize. I don't want to be specific on that, but we'll give you a bit more insight on where we see the biggest prospects. I hope that helps you in answering the question.
Luuk van Beek: Yes. That was clear for now. Thank you.
Dick Richelle: All right. Thank you, Luuk.
Operator: Our next question comes from the line of Rachel Fletcher from Morgan Stanley. You're now unmuted. Please go ahead.
Rachel Fletcher: Good morning, and thank you for taking my questions and I have two please. The first is on the cost base. So the cost base is expected to increase to €645 million in 2022. I was just wondering how much of that increase is due to higher energy cost. And the second question is just on any comments you have on the recent news of cyberattack on storage terminals and potential risks or impact to Vopak? Thank you.
Dick Richelle: Good. The cyber question I -- Frits will answer that. On the cost base of that €645 million, the majority of that increase -- it's two components there, Rachel. It's utility cost and it's the cost of personnel expenses that because of a higher inflation are expected to grow. It's probably split between the two going forward and that's what I said when I indicated the €645 million for the full year. That is dependent on FX and obviously also dependent on unforeseen movements on utility costs that will have an impact on the cost base of our terminals. And then maybe Frits to you for the cybersecurity question.
Frits Eulderink: Yeah. Thanks and thanks for the question Rachel. Yeah, as I think we have shared with you Vopak is -- has been busy for the past years on enhancing its cybersecurity through our IT program. And currently I would say we are at the stage where we feel the IT part of that program is well-advanced and we feel that we are protected. Of course you have to always connotate with that that no matter what you do you cannot prevent burglars to get into your house if they really want to and that's the same situation here. But we feel we are well-protected on the IT side. And we're currently working hard to also extend that to the OT side, so the automation part of it. And there I would say, we are advancing at a rapid pace. If you look at some of the incidents that have happened in our industry these have been basically entries through systems that Vopak no longer uses. So in our new architecture we have moved on from the systems, which have had the vulnerabilities that we all heard about. Now, obviously, that doesn't mean that the new systems could not have vulnerabilities but at least we feel that we are in a good position to detect them relatively quickly and then to isolate them and there with -- respond to it. But it is, obviously, an area that has a lot of focus and that will continue to have a lot of focus going forward for us. But so far happy to say that we have been able to withstand all the attacks, which also our industry has been prone to.
Rachel Fletcher: Okay. Thank you very much.
Operator: Our next question comes from the line of Thijs Berkelder from ABN AMRO. Your now unmuted. Please go ahead.
Thijs Berkelder: Yeah. Good morning. Welcome Dick back to the stage. My first question is on let's say, let's go to slide 18, where you compare the EBITDA 2021 versus 2020. And I'd like to have your view on where we're heading in 2020 . You are clearly negative on oil markets. So let's assume oil markets minus €10 million, €20 million, chemical markets recovering let's say plus €20 million, then debt part is flat, expenses go up by close to €20 million so that's another minus 20 growth projects, probably something like €30 million, and then we will see minuses from potential divestments Canada. Can you indicate what kind of EBITDA is related to the Canadian operations you're selling and potentially Australia as well? So meaning EBITDA guidance for 2022, is that higher, equal or logically lower than 2021?
Dick Richelle: Thank you Thijs, and good to hear of you again. 2022 there's four components. You're mentioning them all and maybe to spoil, maybe the answer already on the outset, we're not giving specific EBITDA guidance for 2022. What I will tell you is that, the four main elements to take into account when looking at our results is first one, the contribution from growth projects and there's a few that we have to deliver this year in order for them to deliver to the performance in 2022. We're well on track. I don't expect any main changes, but things like the new India venture, the start of our operation in Hong Kong those are elements that have to go on timing have to be well-planned to contribute. That's one. So contribution of the projects. Two, it's the market and it's two and three. So it is indeed the development on the oil markets and the positive upswing that we've seen on the chemical markets. Indeed less positive as I indicated earlier on the oil side, more optimistic than I was before maybe on the chemical side. And the question is how that will balance out over the year. The last part and that's related to the cost the €645 million, definitely linked to what I said earlier, inflation picking up and utility prices also being highly volatile now. And we've seen that already in the fourth quarter, especially in Europe, Africa and it's quite a big task for us to make sure that we deliver on that €645 million. So again, it's cost growth contribution oil markets and chemical markets. Those are the moving pieces that will determine the outcome of EBITDA in 2022. Now, specifically to your question on Canada and Australia, we will not disclose any individual EBITDA contribution for those assets. What I can tell you is that, the process in Canada is more advanced than the strategic orientation that we launched in Australia. And I expect Canada to come to a conclusion, whatever the conclusion, but now we deem it likely that we will go ahead with the potential divestment of the four assets in Canada in the first half of 2022. Australia, I hope to be able to give you an update on where we stand also during the first six months of this year and see if -- what the outcome is of the strategic review. Again, I know you were hoping for more and get some more specific numbers, but at least for now, no plans to change that. Sorry. Thanks Thijs.
Thijs Berkelder: Yes. Then two additional questions on top. So just to be clear, what you plan to do with the proceeds. Is the share buyback -- a larger share buyback, let's say handing all the cash back to shareholders an option or not? And the second question, what is the exposure of  potentially being sanctioned by the US and Europe?
Dick Richelle: I'm sorry, Thijs, you just broke up at the last part. You said something about sanctions. Can you repeat your last question please?
Thijs Berkelder: In case Putin indeed attacks Ukraine and the US and Europe will let's say in scenario sanction Russian oil exports flowing through Rotterdam, what percentage of your business in Rotterdam is Russian oil flow-related?
Dick Richelle: Well, maybe to start with the last one, the percentage of flows from Russia from the Baltic States into Rotterdam for us and the dependency on that has diminished quite a bit over the past period. So, I don't expect any big changes to happen over there. But in a more generic way and I said that looking at the macroeconomic development, the main volatility that is already quite high. Obviously, that will have a massive impact if something will happen on the geopolitical side. So -- and then you have to really go almost location by location or product by product and what type of impact that will have. In a very generic statement, large volatility for traders and for demand for storage is not necessarily bad news. We tend to do well in moments of large volatility. I think that's the first part. Your second question as it gets to the proceeds of potential divestments, we are still considering that. And I cannot tell you, whether we would move ahead and go for a larger share buyback. We look at all the options on what to do. For the moment, we have confidence in the prospects for growth in the future and our ability to apply our capital to attractive growth projects and especially, as I said earlier in the new energies and sustainable feedstock infrastructure. So, that's probably the guidance I can give you at this moment in time. Thank you.
Thijs Berkelder: Okay, very good. Thanks.
Operator: So, our final question comes from the line of Quirijn Mulder. You are now unmuted, please go ahead.
Quirijn Mulder: Yes, good morning. This is Quirijn. Hello, can you hear me?
Dick Richelle: Yes, we can hear you loud and clear.
Quirijn Mulder: Yes, a warm welcome to Dick for joining us again. 2004 when you were IR, you have made a nice move there. Okay. I have a couple of questions. I have a couple of -- let me say more geographical places. Maybe you can elaborate somewhat about the situation in Fujairah. And maybe you can give some idea about the fourth quarter impact of the utility prices on the results to more specific because it's yes it was a quite big, big drop in EBITDA there. Maybe you can update us also about Moda Houston. We have discussed that in the past. I think it's a piece of land. So, you have plans for an ammonia storage there. But at the same time, you did -- and the write-down on this is there. So, I'm interested in what the situation is there. And then my most important question is about Singapore. So, what's the situation there? Because it looks like that the situation hasn't improved at all, since let me say 2020. So, is there anything positive you can mention about the future of Singapore and what the impact can be on the results in the coming period? And my final question about Aegis. How is the status with Aegis? When do you think you can start this joint venture and to have -- to materialize in the growth of LPG market there in India? That's all of my questions.
Dick Richelle: Okay. Well, thank you, Quirijn. Very good to hear you. Look forward to meeting you and the rest of all the people also in person. Maybe I will start with Fujairah. I'll leave the utilities question for Frits. I'll give you a little bit of an update on Moda and then we'll go through your questions. First, on Fujairah, I think during the last call, we were quite specific on saying that for the occupancy, we were pressured and then the challenge in 2021 on the crude side. We've secured a new crude contract and that starts to contribute in 2022. So, there you see the upside coming from in the year ahead. Overall, situation in Fujairah has not materially changed from where we've seen it before. I think that's one. I think the second question is related to Vopak Moda Houston. That is indeed a plot of land. It's physically I would say a few hundred meters away from our Deer Park facility. It has a plot of land on the water side and it has a larger plot of land in the back. What we are now -- what you see in development cost of the past that run through the exceptional results is development cost for the development of crude storage. That was back in I would say five, six years ago. It was a big portion of the attention to make that piece of land and the terminal available for pipeline-connected crude export facility. In the meantime, our views on the attractiveness of that for a multitude of reasons has shifted. And therefore, we are very excited to see this as a really good piece of property to develop the gas infrastructure. We do that for a couple of small tanks for the local refinery in I think C2, C4 type of products and we do it for ammonia now for a bigger customer and that's the announcement that we made that we commissioned it. I'm very excited for the opportunity. We now have the base infrastructure in place. Again we have a big piece of land in the back where you can build even bigger supporting infrastructure, but it's a prime piece of property. And I think we have a good team and a good combination with Moda to see how we can develop that further. I'll leave the utilities question maybe to Frits and I'll come back to a few words on Singapore and Aegis. 
Frits Eulderink: Yes. Yes. On the utilities, Quirijn, the situation in Vopak is, of course, that part of the utility cost -- or in some cases utility cost we can just pass on to customers. In other cases, we have long-term contracts and therefore, were not so much affected by the sort of last quarter's increases. But still in the places, where we are you're talking about an effect of say some €7 million during the last quarter of additional costs just from utilities.
Quirijn Mulder: That is for the group or for EMEA? 
Frits Eulderink: No, no that's for the group.
Quirijn Mulder: Okay. 
Dick Richelle: If I then go, Quirijn, and share with you a little bit on Singapore maybe to dissect it a bit in the four terminals that we have in Singapore. We have Sakra, that's an industrial terminal. That's stable results. That's nice generating cash over a longer period of time. That's the first one. We have the early one, the one that we started is Sebarok. Sebarok is the oil facility – oil trading facility, attractive asset because it has a type of infrastructure that is attractive for traders, but it flows up and down with age of the terminal and sustaining CapEx requirements, which we went through quite a bit over the past years, because we had a normal cycle of out-of-service capacity in Sebarok. At the same time, it also comes and goes a bit with the attractiveness of traders looking for storage in a market that has become more competitive over the years. So Sebarok, I would say, goes with the demand for oil storage, trading oil storage in the greater strengthens so to say. Third terminal Banyan, I think that's one of the better, if not best performing assets, especially in the Singapore context. Banyan is a combination of long-term oil storage connected to local refinery. Its chemical storage and its gas storage and a lot of it is industrially linked and it has the attractiveness of multiple products. It has scale and it is therefore a very attractive asset and generating very stable and attractive cash. What is happening there at the moment is that, especially on the LPG side, we go through a moment of switching products from one product to the other. So that will have a temporary blip as we go through it to then continue in a much more stable fashion going forward. Then the last terminal in Singapore, that's Penjuru. That's on the Mainland. That's I would almost say a typical chemical distribution terminal comes and goes a bit with what's happening on the chemical side, shorter-term contracts, sometimes under pressure, if we see that dropping down, and that's what we've seen in 2020 in the beginning of 2021. You see occupancy picking up again in a place like Penjuru, and that's a nice asset. We do a bit of base oil and a bit of a lot of different products and that's the individual set. If you combine that into the overall outlook for Singapore, yeah, I think it goes back to what I said earlier. It's a bit the combination of chemical upswing in Banyan and Penjuru versus how much pressure we see on oil in Sebarok, but overall given the competitive situation in Singapore, I'm happy with the performance that we see of our asset in Singapore. And then maybe the last one was on Aegis, and I'm not sure, if your question was on the timing. We mentioned that, we would target a closing at the end of Q1. However, at the same time, it remains a bit volatile, I would say from the government regulation perspective to get all the approvals at the right time in place, so we just want to be a bit more cautious over there and say first half of 2022, we expect to close. We're still very excited Quirijn about the opportunity and the combination. It really will make our presence in India unprecedented and unparalleled on both LPG and chemicals and provides in my view, a really good opportunity for further growth in that country, and especially given the fact that the combination between Aegis and Vopak is a very complementary combination. We bring in the international experience and the brand name and we have a local agile company like Aegis, and I think we can feed off each other extremely well. So I'm excited for India as you can hear. Thank you.
Quirijn Mulder: But it is not part of the expansion €110 million, €125 million you expect for 2023 given the fact that we need to invest et cetera?
Dick Richelle: Yeah, it is Quirijn. So the €110 million, €125 million, includes everything we commissioned as of 2020 everything that we announced in – as new projects in 2020 until the middle of 2021, and we include in that Aegis and Hong Kong LNG. Those are – that's the calculation. And again, you come in the bracket of €110 million, €125 million. We feel that still stands. And therefore, we reconfirmed it.
Quirijn Mulder: Okay. Perfect. But my final question is then let me say last year Gerard gave an indication for the expansion contribution on EBITDA for the full year said, okay that's in the range between €30 million and €50 million. Are you not able to give that indication for 2022 then?
Dick Richelle: I knew you were coming with that question Quirijn, but we're not. So we tell you it's €50 million for the year 2021 and then €110 million €125 million next year. It's a bit hard to exactly calculate and give you that guidance for now. For now, we've decided to stay away from that Quirijn. But I fully appreciate and understand your question, and we try to give you as much updates on how these growth contributions are factored in into the actual results and hope to give you a bit better guidance for the year of where it sits between the €50 million and the €110 million €125 million.
Quirijn Mulder: Okay. Perfect. Thank you.
Dick Richelle: Yeah. All right. Thank you, Quirijn.
Operator: We have one final question from the line of Andre Mulder. You are now unmuted. Please go ahead.
Andre Mulder: Yeah. Good morning. Two questions there. Firstly, looking at the performance in China in Q4, it seems that especially the JVs have done much better. Can you add a bit more detail there? Then on the Canadian terminals, it looks as if only Montreal West is really an oil terminal and the rest are mixed. So you put them as oil terminals. Am I right in saying that the other ones are more mixed and that is not all oil terminals?
Dick Richelle: Thank you, Andre. And good morning, good to hear from you. Maybe first one on China. There's two effects that you see in Q4. The first one is the effect of the withholding tax, since we have a large number of joint ventures. You see the increase. Second Q4 has been positively influenced because we see in Caojing, the industrial terminal new capacity that has come on stream or at least the additional contribution from investments that we made which is modifications to existing systems and that came in in Q4. I think in general maybe a word on China, we've had -- I'm really happy with the performance in total in China in 2021. And I think we have the portfolio which is a very clean and solid portfolio and the way our China team is delivering on projects both from a project execution point of view as well from results delivery has been very consistent and very dependable. So we're happy with that. I think that's the first one on China. Then your second question was on -- I forgot.
Frits Eulderink: The Canadian... 
Dick Richelle: On the Canadian -- yeah sorry the four Canadian assets. The four Canadian assets, Andre they're all oil. So we have Quebec City. That's 100% oil. Then we have Montreal East and Montreal West. That's majority oil, a little bit in Montreal West, but that's a very small facility. Maybe half of that is probably chemicals and that's really 20,000 30,000 cubes, so that's not material on the total. If you go to Hamilton, the big impact in terms of results come from oil. It's a fuel distribution, it's asphalt distribution and it's a small piece with a bit of methanol and local products for the chemical industry. But the majority -- and therefore, we feel comfortable the majority is really classified as oil. Capacity-wise, results-wise, it is oil and it is an asset that quite frankly sits at the maturity level where we feel probably there's a new owner that could look at value creation for the future in a different way than we do. And we've seen that in other OECD parts of our portfolio where we have to make sure we find the right moment to test the market. And that's where we're in at the moment. I hope that helps you, Andre.
Andre Mulder: Yeah. Thanks.
Dick Richelle: Good.
Operator: We have no further questions in the queue. So I'll hand over to your host for any final remarks.
Dick Richelle: Thank you. Well, thanks a lot for all your questions and your interest in the company. If there's any further questions more detailed questions that we were not able to give you sufficient guidance on also with the absence of Gerard here, please feel free to reach out to Fatjona and the IR team and happy to give you any follow-up on it. And as I said, I look forward to meeting you all in person as soon as that's possible and look forward to working with you for the coming period. Thanks all. Bye-bye.
Operator: Thank you for joining today's call. You may now disconnect your lines.